Tim Lange: Good morning, ladies and gentlemen, and welcome to our Q2 Earnings Conference Call. My name is Tim Lange, Head of Investor Relations and with me as usual Klaus Engel, CEO; and Ute Wolf, CFO of Evonik. So let me hand over directly to Klaus for the short presentation, which will be as usual followed by our Q&A session.
Klaus Engel: Thank you, Tim, and good morning to everyone. Thank you for taking time from your busy schedule to be on our call today. We do appreciate your interest in Evonik. I’m very pleased to report that Q2 was a good quarter for Evonik despite an overall weaker global macro-economic, specific demand from our customers was strong across the whole portfolio. Volume growth accelerated and it was also clearly positive in all three chemical segments reaching a solid 4% on Group level. Adjusted EBITDA improved notably compared to the first quarter; in particular with two segments, resource efficiency and performance materials delivered earnings well above the prior year quarter. Our profitability with an adjusted EBITDA margin of 18% continued on attractive levels, so overall the development in the first six month gained momentum in Q2 after a moral start into the year. On that basis and on the back of our progressing efforts in operational and administration excellence, we specify our full year guidance. We now expect an adjusted EBITDA in the upper half of the EUR2 billion to EUR2.5 billion range. With that I would like to turn you to Chart 4 please. Earlier in May, we have signed an SBA for the acquisition of air products performance materials division. We are very excited about the great opportunity to create a world class leader in specialty and coatings additives for highly attractive specialized markets with an excellent and complementary feat on all levels. And through this transaction we will perfectly match our strategic objectives by complementing our existing strong additives, coatings business by upgrading our existing portfolio through a higher share of value added solutions and via higher focus on already existing Evonik additives businesses. The preparation for the integration of the business is fully on track within the usual legal framework. Both sides, Evonik and air products are working closely and on full steam in the several integration work stream, so all are progressing very well. The syndication of the EUR1.9 billion credit facility is already completed within our core banking Group and we are happy to report that Moody’s has commented already the transaction with an upgrade of our Company’s rating from BAA2 to BAA1 with a stable outlook. The closing of the deal as already indicated in May is expected towards year-end 2016 and we are now very much looking forward to welcoming our new colleagues and coworkers from air products. Besides this strategically important acquisition we also keep on investing into organic growth, some highlights on chart 5. In July, our Brazilian plant for highly dispersible silica went on stream, it is first of its kind in South America and will enable us to serve this fast growing market with local product. Key growth driver for the highly dispersible precipitated silica demand are energy efficient tires and Brazil will definitely introduce Tire Labeling initiative this year through its regulatory authorities. Also, our third global ROHACELL plant went on stream in Shanghai, China complementing our production footprint in Germany and the U.S. ROHACELL is a lightweight structural foam part of the high-performance polymer business unit which is mainly used as core for sandwich structures in the aviation, automotive, electronics and sports equipment industries. We have already sold this material successfully into Asia’s aviation industry including into the prototype of China’s first large commercial airliner that is scheduled to enter into service in 2018. Lastly, but also worth mentioning, we have successfully debottlenecked our Sodium Methylate capacity in Mobile, Alabama in light of the sustainable strong demand for bio diesel catalysts. And with that I would like to turn you to the next chart 6. Innovation; of course, innovation is and remains another key element to strengthen and grow our businesses. Let me therefore give you some insights into our innovation strategy and the most recent progress we have made here. We have focused our R&D power along the six most promising growth fields which you see on chart 6. The target is here to achieve a total of more than EUR1 billion of additional sales from these innovation efforts by 2025. The foundation for this growth is already laid, and we continue to strengthen it further. Let me highlight just two examples of the recent month. Beginning of July we strengthened our portfolio of sustainable and healthy solutions in the area of animal nutrition. The acquisition of NOREL’s probiotics business marks an important step for us. Probiotics play a key role as alternative to the use of antibiotics and our aim is here to build up a position for Evonik as innovative solution provider in the area of antibiotic free livestock management. Also early in July we announced our partnership with Hewlett Packard in the area of 3D printing strengthening our growth area smart materials. Evonik will launch special polyamide 12 based powders for this innovative 3D printing technology. We except to see further growth and additive manufacturing technologies, especially for our key customers in the automotive and also in the aircraft industry. And with that I would like to hand over to Ute for a deeper look into our Q2 financials. Ute.
Ute Wolf: Thank you Klaus and welcome also from my side. Klaus already commented on sales and EBITDA in the second quarter. I would only amplify on chart 8, our good profitability. Adjusted EBITDA margin on Group level was again at respectable 18%. As part of this, our admin costs were 5% below the previous year. The continued execution of our efficiency programs are paying off here. So for example under our admin excellence program, we achieved good progress in the reorganization of our financial services. In May, we have opened our financial shared service center for Asia-Pacific and Malaysia. And in October, our financial service center for Americas and Costa Rica would start its operations. The full migration of financial services to Costa Rica is expected to be completed in 2017. Let’s now move on to chart number 9, our cash flow statement. In the second quarter our focus on cash generation again delivered further positive results. Operating cash flow was excellent with €251 million. It was well above the prior year despite lower EBITDA. This was mainly achieved by our disciplined and active working capital management. Investing cash flow was more or less in prior year’s level. The result of the positive free cash flow of €47 million, quite remarkable for second quarter, which is typically cash negative for us because of bonus payments. Let me briefly comment on the development of our pension provision. In the overall low interest environment, we had to adjust our pension discount rate by 100 basis points to 1.5% in Germany which is similar with other German peers. Therefore, pension provisions increased by €1.5 billion. As you know, this is a pure IFRS accounting effect not resulting in higher cash outflows going forward. With that let me move on to the performance of our operating segments. As anticipated, selling prices in nutrition and care were below last year’s level and also below the first quarter. This was mainly driven by the continued price normalization in animal nutrition and lower prices in baby care. Here, our selling prices reflect the pass on of significantly lower propylene prices and the ongoing competitive market environment. On the volume side, however, we have seen a good growth rate of 5%. Extraordinary strong volume growth in animal nutritions was the key driver on segment level; hence it clearly overcompensate volume declines in baby care. After a softer start into the year, demand for methionine returned to the healthy long-term growth trend which is characteristic for this business. Demand was additionally supported by some restocking of our customers. This is an indication that the market expects supply-demand to remain balanced going forward. Several other businesses in the segment like, personal care, comfort insulation, or healthcare has delivered good year-on-year earnings growth in Q2. We expect this trend to continue also in the second half of the year. For methionine, we are experiencing a price stabilization, which is expected to continue into the second half. On the volume side, demand will remain very healthy. However, we will most likely not experience the strong levels of Q2 which were supported by some customer restocking. In our resource efficiency segment, the strong and resilient performance continued into Q2. Good demand across the whole segment led to an overall volume growth of 4%. Let me just highlight two business lines. Silica benefited from an ongoing strong demand for rubber and specialty silica, especially matting agents. Crosslinkers continued to enjoy favorable demand trends across the whole value chain and almost all regions and end markets. Let me point out another interesting aspect. Resource efficiency has delivered the highest EBITDA of all three chemical segments in the second quarter. I guess this is worth mentioning because the segment does not always get the attention and the value it deserves. For the second half, we expect the good business momentum across the segment to continue. However, the tailwind we enjoyed from favorable raw material prices in the first six months is expected to fade slightly in the second half. Performance materials delivered after weak Q1 a strong recovery and even exceeded the prior year’s quarter. This was driven by both our C4 and methacrylate businesses. In C4, the solid demand led to widening price spreads over the slightly recovered oil price. In addition, better quality and feedstock deliveries with a higher portion of C4 molecules enabled better operating use of our plants. This all lead to improved margins, our existing as well of – as of the new capacities in Marl and Antwerp. In MMA, we experience good demand mainly from the coatings and construction industries. In combination with a temporarily constrained supply side caused by some competitive outages, we had seen good volumes and were able to implement price increases for MMA in the second quarter. For the whole segment, the cost management is starting to deliver results. And we continue to work on efficiency in the segment as well. In June, we announced the closure of a PMMA plant in Austria with around 180 employees by the 2017. Restructuring provisions for the closure were booked in Q2. To finish on the effect of the second quarter, while we had some negative effects on inventory revaluations in the first quarter, these turn positive now. They amounted to a mid-single digit euro amount in Q2. Looking into the third quarter, we expect a generally more positive market environment for performance materials to persist. However, some effects will most likely lead to a slightly lower earnings level next quarter. Scheduled turnarounds in our own plants, as well as at our suppliers will impact volume. Spreads in C4 and methacrylates are expected to narrow slightly. And the positive inventory revaluation effect will most likely not reoccur. With chart number 13, I would like to draw your attention on a cross segment view, on our specialty and coating additives business. These seven businesses will be significantly strengthened with our APD acquisition. But even on a still standalone basis the performance of these specialty and coating additives business lines was outstanding. Volume growth was at 7% and EBITDA growth well-exceeded 10%, both on an aggregate level. With that, I hand back to Klaus for the outlook.
Klaus Engel: Thank you, Ute. To conclude, let me briefly summarize. Q2 was good quarter for Evonik in an ongoing, challenging global macroeconomic environment. We had solid volume growth of 4%, supported by all three chemical segments. And we delivered a nice sequential increase in adjusted EBITDA with a free cash flow that was positive in a normally cash negative quarter. So all-in-all, we have delivered a first half in line with recent expectations, maybe even a touch better and we continue to see good underlying trends also for the second half of the year. Against this background and the benefits of our continuous operational excellence efforts, we have specified our outlook and now expect an adjusted EBITDA in the upper half of the already given range. That closes our presentation. Thank you for your attention so far. And we are now more than happy to discuss your questions.
Operator: Thank you. [Operator Instructions] And we will take the first question Paul Walsh with Morgan Stanley. Please go ahead.
Paul Walsh: Yes, thanks. Good morning, Klaus. Three questions from me please. Ute, just picking up on some of your comments around the specialty additives business. Can you look into the air products business report and give us some insight as whether or not those businesses are also enjoying somewhat better than expected trading conditions at today i.e. before close? And secondly, in terms of the upper end of the guidance range, I’m sure performance materials accounts for lot of that. But in the methionine market, what more do we need to see from a demand perspective before we could start thinking about methionine prices actually moving higher again? i.e., are some of the majority of the supply decreases done and how is the demand outlook in the second half?
Ute Wolf: Good morning Paul. Maybe I start with the first question on APD. So largely, these businesses have developed in line with our exceptions as far as we have seen due diligence. We do not have the full transparency yet, but I think what we have seen that’s very much in line with our assumption.
Paul Walsh: And just on that one, Ute. Did I understand you correctly when you said in your own specialty additives business, you saw volumes up, something like 10%, in Q2 EBITDA are up 10%?
Ute Wolf: Correct. Correct. Yes. That’s right.
Paul Walsh: And just on the methionine business? Thank you.
Klaus Engel: Good morning Paul, it’s Klaus. On methionine, actually as we said the development continues to be fully in line with our expectations. That means as we have guided in the last month, the prices normalized from the extraordinary level that we have seen last year throughout Q1 and also continue to do so in Q2. And I think this is also that has materialized in the Q2 numbers for nutrition and care. Towards the end of the quarter, we saw a significant price stabilization trend, this is correct. And we expect this trend to continue into H2. I think the stabilization trend here is an indication that the market is balanced and that demand has absorbed new capacities. Maybe one thing that gives you little bit currently the overall mood here. We are turning more and more to more long-term contracts, so the amount of customers who are looking short-term into their commitments is diminishing and we are turning more to quarterly and longer commitments from our customers. So this is a encouraging signal from the marketplace.
Paul Walsh: And just one final add-on. Do you think you can outgrow the market given the full capacity still has to be filled?
Klaus Engel: I didn’t get the question. Can you please repeat this, Paul?
Paul Walsh: Yes, sure. Given your additional capacity in Singapore isn’t yet filled, do you think you can continue to outgrow the underlying market?
Klaus Engel: Well, we have a significant market share. Our strategy is not to go beyond this. We have ramped up a Singapore plant according to our original plans here. Right now, and we were able to outperform the market growth in the recent past years, and I see no reasons why we should not continue to do so also in the mid-term.
Paul Walsh: That’s clear. Thanks very much, guys. Thank you.
Operator: [Operator Instructions] And we now move to Lutz Grueten with Commerzbank. Please go ahead.
Lutz Grueten: Hi, good morning. Thanks for taking my two questions. The first one is on volume. So you’ve achieved on Group level plus 4% in the second quarter across all the three divisions. And you have mentioned restocking as a part of the story here for nutrition and care. You have not mentioned restocking for the other two divisions. So could you just clarify that this was not the case and that in the other two divisions there was more or less 100% underlying demand? That’s the first question. The second one is on resource efficiencies. You’ve mentioned that there was some tailwinds in H1 on lower raw material prices which might fade out in the second half. Could you please quantify that affects you have seen here in H1? Thank you.
Ute Wolf: Good morning Lutz. I’ll start with the first question. I think we’re giving good demand to all outer segments. If you remember, Q1 there was a certain effect in animal nutrition as we had a price over volume strategy and I think this is where the restocking took place. Now in Q2 we had anticipated that, we had expected that, and we also communicated about that, so that has completely materialized. So from that point of view, this comment was mainly focused on animal nutrition. I think if you look at volume development in Q1, you see good numbers for performance materials and also for resource efficiency as well. And that’s more or less continued into Q2, maybe a little bit stronger here and there.
Lutz Grueten: Was there one specific month really strong or was this quite steady spreads over all three months in the quarter?
Ute Wolf: No, I think for methionine, it’s just basically the trend we had described, that we had some speculation on the customer side in the first quarter, so where we here and there had lower volumes. But then I think as soon as the customers realize the market is balanced, means not oversupplied, I think they return to normal order patterns and this is what we’ve seen in Q2. That’s the main effect that I was referring to.
Lutz Grueten: Okay.
Ute Wolf: Then to the raw material prices, I think what we really mean that margins will normalize a little bit so that means 0.5 percentage point – 1 percentage point maybe is the benefit of lower raw material prices. And of course year-on-year that effect is not as pronounced as raw materials prices were declining now for 12 months or something like 12 months.
Lutz Grueten: Very helpful. Thank you.
Operator: And we are moving to Martin Roediger with Kepler Cheuvreux. Please go ahead.
Martin Roediger: Good afternoon. First question is on baby care, still under pressure, we know that. When do you think to see some light at the end of the tunnel for that business? Then the second question is on the adjusted financial result. You guide for a slight improvement in the full year. Last year it was minus €179 million. So for the second half that means implicitly €46 million each quarter after you had €55 million burden in the second quarter. So is there any explanation why the adjusted financial result was sequentially improved that much? And finally on the acquisition of APD, we know there is a tax benefit for usage of about $500 million and split over the next 10 years, 12 years. Can you make use of that tax benefit already in the year 2017? Thank you.
Klaus Engel: Yes. Good morning, Martin, it’s Klaus. I will take the baby care one and then Ute will continue.
Ute Wolf: Yes.
Klaus Engel: Honestly I have to say the situation in baby care does not look that it will change dramatically for the good in the short term. I have to say the difficult situation here is prevailing both in acrylic acids and superabsorbents. On the one hand, the global demand for superabsorbent polymers with 5% remains strong and attractive but on the other hand we have to say that we have a challenging situation here because of the tremendous overcapacities that we here have due to the significant capacity additions especially in Asia. And it will take some time also against the background of the market growth to absorb those additional capacities and to rebalance the supply and demand situation. So I do not expect a relief here within the short term. It will takes months, if not, let’s say, one to two years. Of course, we are not sitting here just quiet. We are continuing to work on innovation to differentiate ourselves vis-à-vis competition and to intensify our strong ties to our key customers. We have two new value-generating technologies offered to our customers. We have invested in new pilot plants at our main production site in Clearfield which provides a shortcut between product development and scale up to mass production. But most importantly we are also working on our cost position here as well, that means improvements in our raw material supply contracts. The optimization of our supply chain, that means products shipped to different existing production sites according to the most favorable cost position, and finally, like we also realized already capacity reductions and execute agility to decrease fixed costs by adapting the production setup. You might have noticed that we have already closed couple of plants in the U.S. So in a nutshell, that is another short term fix here, but we are working hard to mitigate the impact.
Ute Wolf: Okay, let me continue with your question towards the financial result. Guidance is slightly better than last year. On one component, pension interest we had still funding last year, so that will help for the pension interest. If you look at the Q2 number, there is one effect to be kept in mind. We have to revalue the long term provisions quarter-by-quarter with market interest rates and that can create a higher burden in a given quarter. That will not repeat if the interest rates stay where they are, so I think that was something which weighed on Q2’s financial result as well. With the tax benefits from a product, as soon as we have acquired the assets, we can then deduct in the local gap the goodwill amortization. Please keep in mind that this is a local gap issue, so in our IFRS account that will not appear in the P&L, it’s just a cash item under IFRS point of view.
Martin Roediger: Thank you.
Operator: And we are moving to Andrew Benson of Citi. Please go ahead.
Andrew Benson: Yes, thanks very much. Methionine, you talked about the shift by your customers to wanting longer-term contracts again. Does this effectively mean that you will lock in the current price for at least the second half of this year? And also, I noticed that sometimes I got it wrong with some discussion of turnarounds, whether that’s going to be a constraint on your volumes in the second half. Secondly on this, do you feel you need to make any further CTA payments? [Indiscernible] listing and you had various significant contributions including part of the proxy business that went into the CTA, whether there is any additional payments you’re considering now? If I may as well, you were quite cautious on both the MMA, PMMA chain and the C4 chain at the start of the year. And I just wondered what are the key things that have improved and whether those improving fundamentals are set to continue to the second half?
Ute Wolf: Okay. Andrew, I’ll start with the pension funding question. We had finished our program last year. You might remember we really put in €1.6 billion in cash and another roughly €800 million in form of real estate assets. We have now two-thirds of funding ratio which we think is a good overall status. So from that point of view for us we feel comfortable with that funding ratio, and today – as of today there are no further voluntary funding planned.
Klaus Engel: Andrew, to continue, it’s Klaus again. I’m not sure I got all your questions but I remember well the Methionine one. Yes, I can confirm, it’s the case the customers are turning to longer-term commitments in their contracts we had for a long time. The usual thing was the quarterly contracts; then in the last few years that has become a little bit more shorter. Some of the customers even took longer commitments. So what I can say is we are now back to auto mode where customers think more long-term. And I think basically that tells us that they are more expecting a rise in prices here, that is what I can derive from this behavior and this logic. I guess, the third question you, if I remember correctly, it was about the performance of the performance material?
Andrew Benson: Yes, the performance materials business. I mean, the start of the year you were projecting performance materials to deliver lower EBITDA, 16% versus 15% and obviously hasn’t done that badly. So I was just wondering where the change is, why you think – why you thought so cautiously if you like in the start of the year? And whether the – whatever it is that’s done better than you expected will continue?
Klaus Engel: Yes, got it. Yes, first of all, I think we must see we have in this area, in this segment, we are mostly geared to the naphtha price and to formula pricing and to some extent, of course, we are also here subject on the development of these key indicators. And you have followed the development there for major input values like oil, like the oil, like naphtha, and that has also helped of course, to have a more healthier margin spread as far as the C4 activities are concerned. We had also some positive FX effects here. On the other hand, I can say we had a strong quarter for MTBE as the seasonal demand for MTBE picked up a little bit stronger than we had already anticipated. And as I said before, higher naphtha prices of course has helped here also in this area, the sector based pricing both of MTBE and 1-butene. You might recall that we have invested also into our assets here. We are now capitalizing nicely the flexibility in the feedstock. The feedstock quality has improved significantly here and that has also helped the overall economics in both MTBE and all the other C4 products. I think Ute has mentioned already that the increase in naphtha prices has also let a mid-single digit million inventory write up, so this is of course just an accounting issue. When it comes to the other significant activity here on methacrylate, I can say that MMA has improved demand, significantly improved demand, better than we originally anticipated particularly from the coatings and the construction industries and we saw even some price increases here but of course, it’s still below the Q2 2015 level. You might remember there we had the great supply shortage coming from the Lucite outage, which has become – overcome right now. PMMA year-on-year continued on year-on-year higher level. So this is – here has helped again rather strong demand from the automotive industry from Europe and also the U.S. and also here, the lower material costs in terms of MMA has helped to get over more favorable product mix. So going forward what can we expect here. In the second half the overall positive trend in a nutshell should persist. Of course, as always in live there are some neverthelesses. We expect here a slightly lower demand and increasing raw material prices, so this is a little bit statistical effect. We do not think here the support in raw material prices like acetone, methanol and also C4 stream. We continue like this, so there will be a slight narrowing of the spreads most likely and it’s not – rather, it’s very likely that the very strong MTBE quarter will repeat again. There are some scheduled plant turnarounds on top both in C4 in line with our own raw material suppliers and also in MMA that we have to keep in mind in Europe and in China for about 4 to 5 weeks that will occur in September and October. And of course, as I said, I mentioned this the inventory write up from Q2 also will not reoccur. Was this helpful?
Andrew Benson: Yes, it was. That’s pretty clear. So thanks very much, Klaus. Thanks.
Operator: And we are moving to Markus Mayer of Baader Helvea. Please go ahead.
Markus Mayer: Hi. Good morning Ute, Klaus and Tim. Three questions as well. Firstly, again to this impairment and superabsorbents and prevention belief, can you remind us what kind of the goodwill you have at baby care and if this is also the risk to be impaired then in over the next 1 to 2 years? And secondly, on the net sum capital reduction you had in your cash flow, can you remind us how much came from the C4 value chain and how sustainable this net reduction is? Is this just a one-off now we had in Q2 or should we see further network and capital reduction in the second half? And then lastly, on the €37 million one-off from the product acquisition in your financial result, is this a good run rate for the second half or what should we expect there? Thanks.
Ute Wolf: Okay. Good morning, Markus. Let me start with net-working capital and financial result. Performance materials I think is the segment that works mainly the longest and the most consistently on net working capital improvements as this is the role that the segment has in our portfolio really cash oriented. So from that point of view they made the biggest progress also in Q2, but of course, all the segments are working continuously on that, so there will be further improvements throughout the year but maybe not to the same magnitude. With the financial result, I would like to remind that we had in Q2 this effect of revaluation of long-term provisions; so under IFRS, if the discount rate changes you have to check the full change in the long-term provision into the interest result that weighed on Q2, so I think that maybe to be adjusted if you look at the run rate.
Markus Mayer: I’m sorry, as a add on question, what is the net run rate for the second half for this results coming then from your products? What is the effect from your products? The searching result?
Ute Wolf: You mean in the financial results?
Markus Mayer: Yes.
Ute Wolf: In the financial result we are of course amortizing the time value of our currency auction, so that’s also an IFRS accounting rule. That is a little bit hard to predict as this is really market value based, but I think over time more or less the full amount will be amortized step by step. But this will be adjusted, so you will not see that in the adjusted financial result.
Markus Mayer: Okay. And the question on the superabsorbent?
Ute Wolf: Yes. I think we have to separate the SAPCO impairment from the overall goodwill and baby care. Maybe let me elaborate a little bit what is SAPCO. SAPCO is a minority investment we have in a superabsorbent facility which is part of a bigger facility in Saudi Arabia. This facility was financed with project financing some years ago and of course more raw material price advantages were priced in as appear today and other things. So what happens in that whole complex, that whole complex has to be little bit cost wise restructured to make sure the overall project financing works. That means that we are more or less rendering on some parts of our profits to make the whole complex work and that’s why we decided to impair our shareholding really the 25% shareholdings in that company. So we have written that down completely, so there is no more impairment coming from just writing down that stakeholder. That does not mean that the overall goodwill of baby care is hurt by that. We look at not only with baby care but with all other production facilities. We look at our global production footprint and then do the goodwill test every year. So that’s a completely different story, and so single events in certain regions do not automatically point to a problem in goodwill in the overall global production environment.
Markus Mayer: And as a add-on question, this kind of mechanism you had from the raw materials in the Saudi Arabian plant, that is basically in – we cannot find this in other kind of plants? And also could trigger another impairment at other kind of regions, so that is basically was a one-off in particular for this kind of Saudi Arabian plant?
Ute Wolf: It’s a specific complex with specific price rules in that complex. So I think in our other superabsorbent facilities that works differently. Thanks.
Markus Mayer: Okay. Very good. Thanks.
Operator: And the next question will come from Jeff Herr with UBS. Please go ahead.
Jeff Herr: Good morning. Lot of my questions have been answered, so I got two. Your volume growth across the Group seems to be higher than the rest of the chemical industry by a couple of percent at the moment. Really, how much of the volume growth that you reported in Q2 or the first half is related to ramp up of your capacity? And do you see any risk? What do you see is the main risk to volume growth slowing as we go into the second quarter? And my last question is just on FX. Compared to some of your other Eurozone chemical peers you have very limited FX change in your top line in the past quarter, is that related to hedging and could we expect [indiscernible] as we go into the second half of the year? Thank you.
Ute Wolf: Yes. Let me start with the FX effect. I think we have different influences. On one hand of course, the dollar has appreciated, so that would be a positive one. On the other side many other currencies have depreciated basically euro. So that overall in the mix this is not as pronounced.
Klaus Engel: If I may add, good morning Jeff, it’s Klaus. On your volume question, yes, your observation is right. On the one hand we still are operating in a challenging global macroeconomic environment. Most institutions have downgraded their growth expectations. Nevertheless, we were able to outperform the growth as you rightly observed. I think it’s a mix of both here. Yes, we have consistently upgraded and invested into our market leading positions into our technologies and we are to some extent here reaping, harvesting the fruits of these recent investments. I’ve mentioned some in the last calls also today. So that is one effect coming as a return on our investment activity here. But it’s not just this, we are very let’s say picky and we are very focused on those areas and those markets where we can expect an underlying growth that is supported by mega trends and that really can drive the economy whatever the headwind or the tailwind currently is. So we are focusing on health and nutrition, we are focusing on resource efficiency and in certain areas where we can really add value. I think our choice of those arenas where we want to compete helps here to outperform the growth and this is also a clear – also our aspiration to outperform the general growth here. Risk for the second half of the year I think of course no chances without risks here. But I think those are the usual topics we are all discussing here. Overall growth in the world has come down. The developing markets have not really improved here. There’re very, very weak signs in Brazil but the mood might turn with the new government and just start with structural reforms there. The Brexit thing, although we are almost not affected here from this event. Well, on the other hand not loosed the overall economic sentiment in the Eurozone that’s for sure and also Turkey the same here, our impact for us is very limited. But it’s another, let’s say another question mark and uncertainty on the overall economic sentiment at least in the Eurozone. So we have to cope with that and we will cope with that and I think all-in-all if you summarize all the chances and risks we will end up with the outlook we have given to you today.
Jeff Herr: So just a follow up on that. If you striped out the restocking that you’ve seen in methionine in the quarter and obviously the ramp, the benefits you’re getting from ramp up, would the volume growth be more in line with your peers, rest of the industry?
Klaus Engel: I think if you compare Jeff, over the longer term, the longer history, our growth performance you would see that we have outperformed the growth of the market that has over the time given us a leading market position which we are currently want to hold. We will not exceed our market share with that. We have currently roundabout a 40%. But with that market share and an underlying growth of 5% to 6% which we also expect to outperform this year, I think that this is a nice growth market.
Jeff Herr: Thank you.
Operator: And we are moving to James Knight with Exane BNP Paribas. Please go ahead.
James Knight: Good morning. I’ve got a couple of questions. Firstly, turning to methionine and the amino acids more broadly. Thank you for your outlook and comments there. I did notice overnight one of your key competitors in Asia reported and sounded pretty bullish about the current developments in the market talking about the big bounce in soybean mill pricing and I think particularly strong China livestock market particularly in swine and pigs. I’m not going to ask you whether your outlook is conservative. But I wondered if you could comment more broadly and whether you see the positive trends that they are indicating or could confirm them? And then secondly in terms of the cost reduction measures in performance materials, do you think they’re ever going to get to a stage such that you would announce some kind of savings target or they are little bit more contained if you like a little bit smaller scale? Thank you.
Klaus Engel: Good morning, James. I start with your question on the outlook on amino and Ute might assist me on the cost issues. Well, we have always, let’s say, we take a cautious view into the future whether it is conservative, I don’t know, maybe 6 months from now we will be wiser. Yes, it’s true we can confirm that we have seen also the price development in soybean and we have seen that the markets were improving. That is also particularly very visible in the Lysine market where we also active as you know. So there’s really a very good momentum right now. The high soybean prices of course they have fostered higher Lysine inclusion rates. So that has really helped. But you should not mix that up. Of course the soybean pricing is relevant for Lysine, it does not have an impact on methionine however.
James Knight: Of course, yes.
Ute Wolf: Okay. On the cost savings for performance materials, I think as a cash oriented and efficiency oriented segment, they have to deliver even better sector cost compensation than the growth segment. So, for them I think the targets are here and there a little bit more stretched. Please keep in mind that we had some restructuring efforts this year, so the main savings will then appear next year. So I think this year we have restructuring costs and the savings will then come in 2017 and 2018.
James Knight: Okay. Thank you very much.
Operator: That will conclude today’s question-and-answer session. I would now like to turn the call back over to closing of any additional or closing remarks.
Tim Lange: Yes. Thank you, everybody out there. That brings us actually to the end of today’s call. Once again, thank you very much for sharing this call and giving us your time. As usual, we will be on the road in the next weeks in Frankfurt, London, New York, Edinburg and Dublin, so quite a busy time. And also at the usual conferences in September and we are all looking very much forward to meeting you there. Once again, thank you for your attention. Good bye and have a great day.
Operator: Thank you. That will conclude today’s conference call. Thank you for your participation ladies and gentlemen and you may now disconnect.